Operator: Welcome to ManpowerGroup’s First Quarter Earnings Results Conference Call. All lines will be able to listen-only until the question-and-answer portion of the call. [Operator instructions]. Today’s conference is being recorded. If anyone has an objection, you may disconnect at this time. I’d now like to turn the call over to CEO, Jonas Prising. Thank you. You may begin.
Jonas Prising: Good morning and welcome to the first quarter 2015 conference call. With me is our Chief Financial Officer, Mike Van Handel. I will start our call by going through some of the highlights for the quarter, and then Mike will go through the details of each segment, the relevant balance sheet items, cash flow as well as forward-looking items for the next quarter. I will cover some additional thoughts on our progress after that. Before we go any further into our call, Mike will read the Safe Harbor language.
Mike Van Handel: Thanks Jonas and good morning, everyone. This conference call includes forward-looking statements which are subject to known and unknown risks and uncertainties. These statements are based on management’s current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements can be found in the company’s Annual Report on Form 10-K and in the other Securities and Exchange Commission filings of the company, which information is incorporated herein by reference. Any forward-looking statements in today’s call speaks only as of the date on which it was made and we assume no obligation to update or revise any forward-looking statements. During our call today, we will reference certain non-GAAP financial measures which we believe provide useful information for investors. We include a reconciliation of those measures where appropriate to GAAP on the Investor Relations section of our website at manpowergroup.com.
Jonas Prising: Thanks, Mike. We started the year with strong financial and operational performance in the first quarter, exceeding our expectations. As expected, currency had a significant negative impact on our reported results as the dollar was much stronger relative to several currencies compared to a year ago. Now this headwind in our reported results in U.S dollars will likely be something we’ll see also going forward, but as we’ve talked about in previous earnings calls, our revenue and costs line up for each country and as such, this headwind is a currency translation that doesn’t reflect our performance in local operation, nor does it impact our global operating margin in a significant way. Earnings per share exceeded expectations, coming in at $0.83 per diluted share. This was up 16% from the prior year in constant currency, but was down 3% on a U.S. dollar reported basis. This strong earnings growth was primarily driven by stronger than expected constant currency revenue growth of 7%, which exceeded our guidance range. Most encouraging was that the stronger revenue growth came out of Europe. Several markets exceeded our expectations, including France, UK, Italy and Spain. Our gross profit margin was up 10 basis points in the quarter to 16.8%, reflecting continued strength in our permanent recruitment business, which was up 17% in constant currency. Over the last several years, we have made significant investments in our permanent recruitment capability and have added more recruiters to take advantage of the improving market opportunities. Our clients are delighted with our expanded permanent recruitment solutions, which include recruitment process outsourcing, direct hire, and temporary to permanent conversions. We also continued to see very strong growth in our market leading offerings in the solutions business, where our gross profit grew substantially at 22% over prior year in constant currency, contributing to the overall improvement of our gross profit margin. For RPO and MSP, we’re seeing an increasing number of cross country, cross regional deals, with Europe being the region that has seen a strong increase in activities. Our market leading global footprint in RPO and MSP gives us an excellent opportunity to address the client needs for larger regional and global deals and that is what we’re focused on. Our costs were also well managed in the quarter as we continue our relentless drive to improve efficiency and productivity, while optimizing our client segmentation and delivery models. This effective cost management allowed us to expand our operating profit margin by 10 basis points to 2.7%, bringing our operating profit to 123 million, an increase of 17% in constant currency. We had a very nice performance given the typical seasonal weakness that we see in the first quarter and those results are thanks to the hard work and dedication of our teams all over the world, helping companies navigate an uncertain and many times volatile environment by providing the needed organizational agility with great talent looking for opportunities to further their careers. And that is how we help hundreds of thousands of companies navigate the changing world at work and at the same time, provide meaningful and dignified work to millions of our associates across our brands and our geographies. And with that, I would now like to turn it over to Mike for some additional and more detailed information on the segments.
Mike Van Handel: Thanks, Jonas. Our first quarter constant currency revenue growth of 6.6% not only exceeded our expectations, but represents the seventh consecutive quarter of improving revenue growth in constant currency. The primary driver of the improving revenue growth in the quarter was Europe, which was up 8% in constant currency, accelerating from the 5% growth they saw in the fourth quarter of last year. While we continue to see mixed revenue performance across Europe, we continue to see strong growth in the UK, Italy and Spain, along with improving growth in France and Sweden. I’ll discuss these trends in more detail in my segment review. Our reported U.S. dollar revenue declined by 7.4%, reflecting a negative currency impact of 14%. The currency impact was slightly more negative than expected as several foreign currencies were weaker on average for the quarter than at the time of guidance. Earnings per share was $0.83 in the quarter, coming in above our guidance range. The stronger revenue growth, combined with a slightly higher gross margin and operating margin in Europe, contributed $0.09 more of earnings relative to the midpoint of our guidance. At the same time, foreign currencies were slightly weaker than expected, resulting in $0.02 less of earnings or a negative $0.17 in the quarter, compared to an expected negative $0.15. Included in other expense is an unforecasted foreign exchange loss of $700,000 compared to a gain in the prior year of $1.2 million. Our gross profit margin came in as expected at 16.8%, 10 basis points up on the prior year. Our Manpower Staffing gross profit margin was slightly below the prior year, primarily due to changes in business mix as key accounts at lower gross margins grew faster than the SMB accounts. Our gross margin was also impacted by some price pressure, primarily in the northern European markets. This was offset by another quarter of strong growth in Permanent Recruitment, which was up 16.7% in constant currency, adding 20 basis points to our overall gross margin. Our investments in Permanent Recruitment continue to pay off and we see this as a good growth opportunity in a number of markets over the next several quarters. Our ManpowerGroup Solutions also added to the overall gross margin, with a strong margin performance in our TAPFIN, MSP and TBO businesses. Lastly, changing business mix resulting from the decline in our high margin career transition business negatively impacted our gross margin by 10 basis points. Now turning to gross profit by business line. We continue to see the strongest constant currency growth from our higher margin professional and solutions business, with ManpowerGroup Solutions gross profit growing by 22%, and Experis gross profit growing by 7%, both in constant currency. Gross profit growth in our Manpower brand improved slightly from the prior quarter, up 5% in constant currency compared to the prior year. In the quarter, Manpower represented 63% of our total gross profit. Within Manpower, about 60% of the gross profit relates to industrial skills which accelerated to 10% growth in constant currency in the quarter. In many of our markets, except the U.S., growth in industrial accelerated during the quarter. The other 40% of our Manpower gross profit relates to office, clerical and other specialty skills. Revenue growth in these skills contracted from the prior quarter, with the exception of finance and accounting, which saw modest growth. Experis represents 20% of total gross profit and within Experis approximately 60% is comprised of IT skills and the balance is comprised of finance, engineering and other specialties. During the quarter, gross profit growth was fairly stable with the prior quarter, up 7%. Our ManpowerGroup Solutions business contributed 12% of gross profit in the quarter. Our ManpowerGroup Solutions is comprised of our market-leading RPO and MSP offerings, as well as Talent-Based Outsourcing. These more sophisticated offerings continue to be in greater demand as our clients continue to search for more agility and flexibility within their workforce. The 22% growth in gross profit was driven by strong 20% plus growth in each of our Solutions offerings. Our expenses were well managed, resulting in a 36% constant currency growth in business line contribution. Right Management contributed 5% of our gross profit and was down 6% in constant currency, an improvement from the 14% decline we saw last quarter. This decline was driven by the countercyclical career management business, which I’ll discuss further in my segment review. SG&A expense for the quarter was $639 million compared to the prior year, SG&A costs were up $34 million in constant currency or 4.9%. This increase primarily relates to permanent recruiters that were added in the second half of 2014 and the first quarter of 2015, necessary to support the robust permanent recruitment opportunities we are seeing in several markets. We achieved good expense operating leverage in the quarter of 20 basis points. Probably this was affected by the change in business mix as a result of currency changes in the quarter. As a result, our SG&A cost as a percent of revenue was stable at 14.1%. Now let's turn to the operational performance of our segments, starting with the Americas, which represents 24% of total revenue. Revenues in the Americas were $1.1 billion, an increase of 6% in constant currency, which is in line with our expectations. OEP in the quarter was $30 million, an increase of 23% in constant currency. OEP margin was 2.8%, an increase of 40 basis points. This strong OEP margin expansion was primarily driven on the gross profit line, with a year on year improvement in Staffing gross profit margin, as well as improving strength in Permanent Recruitment gross profit, which was up 23% in constant currency. Our US operation represents 67% of the Americas segment and had revenues of $725 million, up 1% over the prior year. U.S. OEP was $17.4 million, an increase of 30% from the prior year and an expansion of OEP margin of 50 basis points. This margin expansion was driven by a very focused price discipline, as well as accelerating growth in Permanent Recruitment fees, which were up 24% in the quarter. From a brand perspective in the US, Manpower represents 42% of gross profit, Experis 39%, and ManpowerGroup Solutions 19%. Growth in our Manpower business softened in the quarter and was up 1% over the prior year. This softening was attributable to the industrial segment of our business, which was up 4% over the prior year in the quarter following fourth quarter growth of 8%. There’s no question that the manufacturing side of the economy has softened during the quarter. This is also reflected in the monthly ISM manufacturing data. There are a number of factors that likely played into our weakening growth rate. The first factor is the brutal winter storms that occurred in January and February. While weather also impacted us last year, we estimate that further incremental impact this year is about 2% of revenues. We also believe the long Sherman strike on the west coast earlier in the year and the stronger U.S. dollar, could be impacting the industrial side of the economy. As you can imagine, it is hard to quantify the impact that these factors might have. On a positive note, we continue to see good opportunity in the U.S market and we did see acceleration in permanent recruitment fees which were up 36% in the quarter. This combined with a slightly improved Staffing gross profit margin, resulted in an expansion of gross margin and business line contribution margin for the quarter. Our Experis brand saw revenue contract in the quarter by 3% in the quarter. Our IT growth was stable with the fourth quarter, up 2% year on year, while engineering and finance saw greater declines. Our engineering business weakened as a result of the slowdown in the oil and gas industry. Within Experis, our focus has been on driving greater value to our clients with improved pricing. This has resulted in an expansion of gross profit margin in excess of 100 basis points. In Experis, expenses were well controlled, resulting in growth in business line contribution and expansion of 30 basis points in business line contribution margin. Our ManpowerGroup Solutions had another very strong quarter as our higher value offerings continue to resonate with our clients. Both RPO and our TAPFIN MSP service offering delivered strong results, resulting in revenue growth of 13% and gross profit growth of 21%. This contributed to strong growth in business line contribution. Our Mexico operation, which represents 12% of the Americas, saw good growth in the quarter, up 10% in constant currency. While the market is still waiting to gain traction, we were able to close on some specific larger contract opportunities which drove growth in the quarter. Argentina continues to be a very challenged environment. We experienced revenue growth of 27% in constant currency, which was primarily driven by inflation. Billable hours were down 3%. Other markets in the Americas had strong growth of 18% in constant currency, which was primarily driven by strong sales execution in Central America, Colombia, and Peru. Southern Europe represents 34% of revenue in the quarter and had a very strong performance. Revenue came in at $1.5 billion, an increase of 8% in constant currency and OEP was $69 million, an increase of 24% in constant currency. OEP margin was 4.5%, an increase of 50 basis points. Revenue OEP margins expansion with strong growth in Permanent Recruitment fees and our ManpowerGroup Solutions business, both of which were up in excess of 20% in constant currency. SG&A costs were well managed, resulting in good operating leverage. France is the largest operation within Southern Europe, representing 68% of revenue. French revenue growth improved to 4% in constant currency as there appears to be a bit more confidence building in the market. That said, our monthly trends were choppy, with February being the strongest, up 5% on an average daily basis, while March was the weakest month in the quarter, up 3%. I know we would all like to see a steadily improving growth trend. It’s not unusual to see this type of sawtoothing coming out of the recession. France also made a solid OEP contribution, coming in at $50.3 million, an increase of 20% in constant currency, and an OEP margin expansion of 60 basis points to 4.8%. This was driven by strong price discipline, as well as SG&A leveraging. Permanent Recruitment fees showed good growth of 10% over the prior year in constant currency, a 14% sequential increase from the fourth quarter. Revenue trends in Italy improved in the quarter, up 20% over the prior year in constant currency to $270 million. OEP was up 37% in constant currency to $14 million and the OEP margin was up 60 basis points to 5.2% as a result of strong growth in Permanent Recruitment of 38% in constant currency and good SG&A leveraging. Revenue growth in Spain continues to be very strong, up 32% in constant currency despite the increasingly difficult prior year comparables. During the quarter, we saw organic growth of 27% in constant currency, similar to what we saw in the fourth quarter of last year. OEP more than doubled in constant currency in the quarter as our team is driving a stronger mix of professional and solutions business, while achieving good SG&A leverage. Northern Europe represents 29% of company revenue and had revenue of $1.3 billion, up 8% in constant currency. On an organic basis, revenue was up 6% in constant currency, similar to that of the fourth quarter of last year. OEP in the quarter was $33 million, an increase of 2% in constant currency. OEP margin declined 10 basis points to 2.5%. In Northern Europe, we have a divergent mix of country economic performances, resulting in varied business performances. Normally on 6% organic constant currency revenue growth, I would expect some operating leverage to the bottom line. In this case, the strong and improving performances of markets like the UK and Sweden were not enough to offset the deleveraging impact from weaker markets such as Norway, Russia and Austria. Let me turn to the specific country discussion which will add more color to the segment performance. UK is the largest country within the Northern Europe segment and our strongest performer. Our UK business had revenue growth of 19% in constant currency in the quarter. OEP increased by 28% or 30 basis points. Driving this OEP margin expansion was improved operational leveraging. Within the components of gross margin, Staffing gross margin was down from the prior year due to changing mix of business, with stronger growth coming from larger clients with lower gross margins. This was more than offset by strong organic growth in permanent recruitment fees of 33%. Within the Nordics, you have two very divergent economies with Sweden showing good signs of recovery, while the Norwegian market is declining given its reliance on oil. In the case of Sweden, we saw revenue growth improve to 10% in constant currency, resulting in OEP growth of almost 50% and good OEP margin expansion. This positive performance was more than offset by the deleveraging in Norway. In Norway, revenues were down 7% in constant currency, with an OEP decline of 47%. The gross profit margin was down from the prior year as a result of strong price competition in a declining market and significant softening in Permanent Recruitment fees. Expenses were reduced compared to the prior year, but not enough to offset the decline in gross profit margin. Germany revenue improved slightly in the quarter to 4% in constant currency. Gross profit margins improved slightly as strong growth in permanent recruitment fees more than offset the pressure on staffing gross margins from higher than normal sick pay related to the flu season. Revenue in the Netherlands was up 7% in constant currency. We have maintained a strong price discipline in the face of fierce price competition. This has resulted in the loss of a few accounts and lower pricing in some retained business. Revenue in Belgium improved to 1% in constant currency, but still lags the market. Other markets in Europe were flat in constant currency. Included in this group are both Austria and Russia, which had significant declines in OEP given the economic challenges in those markets. Revenues in Asia-Pacific Middle East came in about as expected, up 2%in constant currency to $533 million. OEP was $90 million in the quarter, an increase of 2% in constant currency, while OEP margin was stable at 3.5%. Japan is the largest operation in Asia-Pacific Middle East, representing 36% of segment revenues. Revenue growth improved slightly in the quarter to 3% following fourth quarter growth of 1%. Revenue growth in Australia contracted 7% in constant currency as the economy continues to be impacted by soft demand for commodities. Despite the weak top line, we were able to drive gross profit margin expansion, with growth in Permanent Recruitment and Solutions, resulting in OEP growth in the quarter. Other markets in Asia-Pacific Middle East were up 7% in constant currency. This was driven by strong growth in several markets, including Korea, India, Taiwan and Singapore. Staffing revenue in China was down against the prior year, but the rate of contraction moderated as the impacts of regulatory changes in 2013 are beginning to anniversary. We continue to see good opportunity in the Permanent Recruitment market and have added recruiters, which is resulting in strong growth. Our Right Management business had revenues of $64 million in the quarter, a decline of 5% in constant currency. This decline was driven by a 5% contraction in our countercyclical Career Management business and 3% contraction in Talent Management. Our OEP in the quarter was $6 million, a contraction of 27% in constant currency, with an OEP margin of 8.8%. While we were able to reduce SG&A costs, we still experienced deleveraging as the cost base was not reduced proportional to the revenue decline. Now let’s turn to the cash flow and balance sheet. Free cash flow, defined as cash from operations less capital expenditures, was $12 million in the quarter, compared to a usage of $24 million the previous year. Improved cash flow was driven by a lower accounts receivable DSO of 2 days. Capital expenditures were $10 million in the quarter, compared to $8 million the previous year. During the year we used $40 million to repurchase 500,000 shares of common stock under our share repurchase program. As of the end of the quarter, we had 5.5 million shares remaining our authorized program. The balance sheet remained strong at quarter end, with net cash decreasing slightly from year end to $206 million. Total cash outstanding at quarter end was $628 million and total debt outstanding was $422 million. The $422 million of debt outstanding was comprised of $376 million of Euro notes and $46 million of various other short-term borrowings. Our revolving credit agreement of $600 million was untapped as of quarter-end. Finally, I’d like to take a look at our outlook for the second quarter of the year. We are forecasting earnings per share to be in the range of $1.21 to $1.29 per share. This includes an estimated negative foreign currency impact of $0.29 per share. At the midpoint of our earnings guidance in constant currency, we are forecasting $1.54, up 14% over the prior year and 5% constant currency revenue growth. A constant currency revenue guidance range of 4% to 6% is consistent with the average daily revenue growth we saw in March of 5%. Trends in the first few weeks of April look similar to March. On a U.S. dollar reported revenue basis, we expect revenues to be down between 11% and 13%, reflecting about a negative 17% impact from currencies based upon today’s rates. We expect constant currency revenue in the Americas to range between 1% and 3%. This assumes that we will not see an acceleration from the recent softer growth in the industrial markets in the U.S. On a constant currency basis, we expect Europe to be up between 6% to 8%. This is slightly softer growth than the first quarter as we don’t anticipate the French revenue growth rate will rebound back to January and February levels during the quarter. Revenue trends in Asia-Pacific/Middle East and Right Management are expected to be similar to the first quarter. Expect our gross profit margin to be flat to slightly up over the prior year, reflecting strengthening permanent recruitment revenue. Our operating profit margin should be flat to slightly up over the prior year, with enhanced operating leverage. I should also mention that I expect our corporate expenses to approximate $30 million in the quarter, a $3 million sequential increase from the first quarter, reflecting a one-time cost of data center moves that will more than pay for themselves in the coming 12 months. Also keep in mind that corporate expenses in the prior year included a one-time $3.5 million insurance credit. We’re estimating a tax rate of 38.5% and a weighted average shares of 79.7 million. With that I’d like to turn the call back to Jonas.
Jonas Prising: Thanks, Mike. We’re off to a good start to the year, with our first quarter results exceeding our expectations. Our focus on disciplined, profitable growth in combination with the continued focus on efficiency and productivity, coupled with the investments that take advantage of growth opportunities, delivered good results. On our last earnings call, we discussed the prospects of a gradual, sometimes volatile but slowly improving global economic growth environment and we stated our beliefs that with the support of stimulus, a weaker euro and lower energy prices, Europe should start to see some encouraging signs of a more meaningful economic recovery. Based on what we saw in the first quarter, I believe we are in fact seeing the early signs of improving market conditions in Europe as a whole, although this recovery is still likely to be sore toothed in a number of countries emerging from recession and more than likely not be a fast paced recovery, but rather build slowly all the time. This growth evolution would not be that dissimilar from the long and drawn out recovery we saw in the U.S. where the current market environment is still one of economic growth and improving labor market, but with some headwinds in the form of a stronger U.S. dollar which is starting to affect parts of the economy, specifically in manufacturing. Emerging markets present a mixed picture, where some countries are benefiting from improved demand from the U.S. as their products and services become more competitive. And for others, slowing demand in China has impacted their ability to sell natural resources and products to the same degree they did in the past. In summary, the overall picture we see from talking with employers all over the world and from the results of our second quarter Manpower Employment Outlook survey we published in February, is one of slowly improving global economic growth in labor markets, with some countries and regions still subject to volatility as they emerge from recession and/or are faced with geopolitical events that can change their outlook. From the ManpowerGroup perspective, this is an environment we are prepared for. And our belief is that an uncertain, slow growth environment where clients value expertise and flexibility, can be very beneficial for our long term opportunity. As the global leader in workforce solutions, we help companies achieve much greater organizational agility, facilitating their investments and targeted growth without committing significant resources to either build organizations they need to execute their business strategies and to shift talent to adapt to volatile demand for their products and services. This need also means they’re looking to us for a greater number of services and solutions and we are very pleased to see that we’ve been meeting this demand and that our clients are increasing their use of our higher value services and solutions. The strong growth of our Permanent Placement offerings we have seen in all three resourcing business, that’s ManpowerExperis and ManpowerGroup Solutions, is a clear sign that our clients are increasingly seeing us not only as a provider of contingent associates of different skill levels, but also a significant provider of permanent talent. We have made investments in these Permanent Recruitment capabilities and believe our global scale and expertise will continue to be very attractive for many our clients, which is why we’ll continue to feather in recruiters and salespeople in markets where we believe we have further opportunities to grow and expand. We have made good progress in Experis, where our focus on higher value skills, in particular within the IT skill segment, is showing that our clients are increasingly seeing us as a provider of high demand skills and also project solutions capabilities. We know we have more opportunities to pursue as we expect the demand for high skilled talent in both developed and developing countries continue to expand. The rapid growth of our market leading offerings in our solutions businesses such as RPO, MSP and other Talent-Based Solutions such as Proservia in Europe is another indicator that our clients are increasingly seeing as a provider of innovative and sophisticated workforce solutions. I am pleased to see that these encouraging results as signed that our clients are increasingly seeing as a provider of innovative workforce solutions on a local and a global scale. So in summary, we’re pleased with our progress in the first quarter and seeing an improving global economic growth environment. Although still volatile and feeble in some parts of the world, gives us confidence that we can continue to build on our progress and also address areas where we believe we have opportunities to improve further. We’re working hard at balancing pricing discipline and revenue growth, all while driving continued improvements in efficiency and productivity. We’re committed to seizing growth opportunities that align with our strategy and to continue to build a diversified business so we can better help our clients in the changing world of work. And with that, we’ve come to the end of our prepared remarks, and I would ask the operator to start our Q&A session.
Operator: Thank you, sir. [Operator instructions] Our first question is Mr. Mark Marcon. Your line is open, sir.
MarkMarcon: Good morning and congratulations. I actually had a full day of meetings in Milan yesterday and most of the Italian investors would be surprised at how strong a performance that you’ve put up here in Italy. I’m wondering, can you talk a little bit about share gains, how much of that is MSP, RPO solutions-driven, and also if you can just discuss broadly speaking within Southern Europe your ability to gain share?
Jonas Prising: Thanks Mark. The growth that we saw in Italy is really primarily driven by Manpower growth, some Experis growth, and also some very good pro-performance, but the Italian market is not one where we have yet seen a great deal of interest in the more advanced solutions. Although we’re of course optimistic and believe that over time, that’s exactly what’s going to be happening in Italy as well as we’ve seen it grow in other parts of Europe. It’s really a question of a very restricted labor market that has a steady stream of people retiring and a large part of those that get rehired get rehired through our industry. And in our case our teams are doing a great job making sure that we’re well positioned to pick up some of that as well as of course helping our clients maintain the agility that they want to have in Italy. So, you just having been in Italy, you will also I’m sure have been talking about the jobs act in Italy which we feel is a positive step in the right direction for the Italian labor market. It reduces a lot of the flexibility forms that are a lot of less regulated and closes that avenue up, which give us from a temporary staffing perspective some very good opportunities looking ahead. It also provides some new opportunities because the public sector now has to compete with the private sector as it relates to supporting employment reallocation that we see as a good opportunity as well. So all-in-all the team is doing a great job, it's not so much driven by solutions at this stage yet, but we believe that will come, it's Manpower and it's perm. And we're very pleased to see the progress that we're making there. And to your broader question on Southern European, we've really seen Spain come back very-very strongly and both in Spain, Italy and in France we're taking share. Spain has seen a very nice evolution in terms of country. They bounced back from the recession. They conducted a lot of the structural labor market reforms essentially devalued the euro within their country by readjusting salaries to labor union contracts. And on our side ManpowerGroup, we've really done a great job diversifying the business and really have in that country seen some very nice progress on the solutions side. And last but not least, France has continued on its strong performance as you've heard from Mike's comments earlier, we started out the year very strongly and then it fell off a little bit towards the end of the quarter and we think that the strength of the beginning might have been something to do with maybe countries refilling their inventories, but also there the team continues to do a great job and we've seen some nice progress on the solutions side also in France.
MarkMarcon: That's fantastic. And Jonas, just to be clear, all the investors in Italy do believe that things are getting better. The 20% growth is 2X or 3X better than what I think most Italian inventors would've expected. So clearly better, but it just goes to show the leverage that you have when things get marginally better and then obviously the big secular trend in terms of the retirees being replaced by flexible labor. I was wondering if you could talk about just the solutions business. When you think about the solutions business long term, the strong growth that you have had there, how big as a percentage of ManpowerGroup do you think the gross profit from solutions could be in three to five years?
Jonas Prising: It's hard to tell in terms of the percentage. But already now over the last just eight quarters you've really seen how we've had some very nice progress. And if you look at this in terms of market maturity, the U.S. market in particular, so not even North America, but the U.S market is quite mature both from a RPO perspective and from an MSP, and particular from an MSP perspective. But as you move to Europe the maturity is probably where the U.S was five or six years ago. So it still has a long way to go reach the levels of maturity that we've seen in the U.S and what's then really interesting is that a lot of our global client companies leapfrog these solutions into emerging markets. And that’s of course where we can leverage our footprint to make sure we deliver MSP and RPO solutions, it really everywhere in the world coming and going with our clients to where they need those solutions to be so they get transparency. So we have to say that we're very optimistic in terms of our long term growth opportunities for the solutions business because it also speaks very clearly to the need for clients to look at their workforce in a different way, have a more strategic approach to their agility and their organizational productivity and really outsourcing the people and process part to a company like ManpowerGroup that has the ability to deliver that agility, really everywhere in the world where they do business.
Operator: And your next question is Anj Singh. Your line is open.
Anj Singh: Thanks for taking my questions. I'm wondering if you can discuss the pricing pressure in Northern Europe. If that is attributable to a lower tier of competitors or is it widespread? And then in Southern Europe, we had heard of some tier 2 competitors in France being aggressive on price. Wondering if you can give us thoughts on how that is affecting the market there and the reception to these strategies because it seems like you took share despite these moves.
Jonas Prising: I think price pressure in Northern Europe I wouldn’t say is broad based, I'd say at least as we're seeing it may be more specific to certain markets. I do think that you've seen a maturity in many of the Northern Europe markets where staffing gross margins have maybe moved from what historically have been higher levels down to levels that we've seen in other markets outside of Northern Europe. But I think few of the markets as I mentioned in my prepared remarks, certainly the Netherlands we've seen some fairly aggressive price competition there. We've made some decisions there to step away from some business as a result and that means there still is a good market there, we've got to find other business to replace that and our team is working hard on that as well I think. Also Swedish market we've seen some price competition in that market as well. But I would say overall a little bit of pressure across but I wouldn’t it's across every market, the UK markets seem to be holding up well, there we have seen stronger growth in some of our larger accounts within the UK market. So from a mix perspective we've seen things move a little bit their overall. Southern Europe from a price perspective I think if you look back, the French market over the last year so we have seen the medium size or the second tier players be a little bit more aggressive from a price perspective overall. I think as we look at pricing in France, things I think are stable but as you know they've introduce new subsidies this year and we're clearly talking to our clients and regarding the value that we're providing to the marketplace. At the same time we are seeing a market that is passing some of those subsidies along through lower pricing overall. So we have to move with the market as the market moves. But clearly we aren’t leading that charge from a pricing perspective.
Anj Singh: That's helpful; I appreciate the color there. My next question, just on the UK market, one of the items that we are hearing about is that, in the upcoming election that the zero hour contracts might get banned or at least get more heavily regulated. Do you think this creates any additional market opportunity for you and other companies? Have you had any discussions with clients indicating that this might be an opportunity?
Jonas Prising: Well, a lot of the industry including ourselves uses zero-hour contracts as the vehicle. But of course this vehicle in this contract use is used widely across employers in UK and a lot of the debate has emerged because a number of those contracts had what's called the exclusivity clauses. So a zero-hour contract means you're not providing a guarantee for certain number of hours which is absolutely manageable and well appreciated by employers as well as employees. But the exclusivity clause that many employers had in place also barred the employee from seeking alternative employment. So had this pressure where you have no guarantee for hours but at the same time you're not allowed to seek employment elsewhere. Now as ManpowerGroup, we have never had an exclusivity clause in our zero-hour contracts and most of our zero-hour contracts are well above 20 hours a week and many of them are well above 35 hours a week. So an actual fact from our perspective two or three hour zero-hour contract is not something that we use in our business. But that’s the reason why it’s gotten such a focus in the UK election. And right now what’s happening is of the exclusivity clause is actually going to get removed and banned and the rest I think is now politics where, as you have seen from the UK labor market whilst employment has improved significantly and the number of employee has increased very-very strongly over the last four to five years, wage inflation is still very muted and wage growth in terms of the lower skill segment, not the similar to what we’ve seen here in the U.S. has been very weak as well. So that’s the backdrop to this debate around the zero-hour contract. So to answer your specific question, we are using zero-hour contracts today. We think there are a very good vehicle we have never used this exclusivity clause which has given such bad publicity to the contract and my view would be that businesses as a whole once you ban the exclusivity contract will continue to use it and of course our usage of our contract has been appreciated by clients in the UK for a long time and they respect that what we had as a contractual form that gives them great flexibility when they use our employees.
Anj Singh: Okay, great. Appreciate the insight there. Thank you.
Operator: Thank you. Next question is Andrew Steinerman. Your line is open.
Andrew Steinerman: Good morning. It’s Andrew. I wanted to ask about penetration rates of temporary help in Europe now that we have a cyclical recovery going on and surely you talked about kind of mid to high single-digit revenue growth. Near term, my question is, are there specific markets where you see more penetration ahead? Are there certain markets where you don’t expect as much penetration rising from here? How does the penetration outlook look for Europe?
Jonas Prising: Our basic view would be this that companies need more flexibility rather than less and just as we have seen in the U.S. once we reach prior peak penetration rates, we believe it will continue to grow from there. Now, there are no markets to my knowledge today that are at prior peak penetration rates in Europe. So it’s a little bit premature to say what happens when you reach. If you look at France for instance peak penetration rate is probably 2.6% and right now we are seating slightly below 2% maybe right at 2%. So we still have a long way to go in France itself. You have the same issue in Italy and you have clearly the same situation in Spain despite the fact that their markets come back and it’s moving strongly during the recession. It lost about half of the penetration rate or at least 45%. So, while its made its way back it’s probably still got 30% growth last before we gets to the penetration rates, to the peak penetration rates. Then you look at the overall penetration rates in absolute and you ask yourself, what could happen? Could Germany’s penetration rate move higher because it’s lower than what it is in France and of course our belief is that flexibility as a whole will be very useful and that penetration rates within Europe should move higher as a whole and those countries that are below the average penetration rate such as Germany, such as Italy they should be moving up overtime as well.
Operator: Your next question is Mr. Paul Ginocchio. Your line is open.
Paul Ginocchio: Thanks. Just asking about the 4% to 6% constant currency rev growth. Obviously, you just did 6.6%. I know you are guiding in line with March and April. Besides France, what other markets maybe decelerated a little bit into March from February? Thanks.
Michael Van Handel: Hi Paul. I think the other key market I thought is the U.S. where we’ve seen the trend through the quarter get little bit weaker and I think that does go inside with what you’ve seen from the ISM manufacturing side, indexes that are out there last five months have gone progressively a little bit softer and if you look at what the IMF had said last week was, they expect global growth to be the same. However, they expect U.S. growth to be a little bit weaker and Europe growth to be a little bit stronger. So I think that probably coincide. So I think exactly what’s hitting the manufacturing side could be the stronger dollar, could be a few other elements. We’re still seeing some good opportunities there but as we look to the second quarter our view on the U.S. market specifically is for growth in the flat up 2% range. So that’s the other market beyond France, the other markets of size anyway we don’t see any notable decline.
Paul Ginocchio: Thanks. Mike, if I could sneak one more in. Your SG&A as a percent of revenue was stable year-on-year at 41%. You got leverage out of the gross margin. Is that how we should think about overall EBIT margin expansion going forward? You've pretty much gotten all the leverage possible out of SG&A and it is going to be more gross margin driven or is that just maybe an aberration this quarter?
Michael Van Handel: I think it’s more of an aberration this quarter. I think -- I do see opportunity to continue to leverage SG&A. And one of the things that is happening here is as the currencies move, the mix of our business on a weighted basis is moving. So, when you see our SG&A as a percentage stable at 14.1% in fact we did have some leverage underlying there but some of our lower SG&A markets if you will are less weight and France would be one to look to. So given that the euro is weaker there is less weight there in terms of proportional. So that usually I’d say currencies do not impact the overall margin. They don’t from an underlying business perspective, but they can from a proportional weighting perspective when we put the mix of countries together and that’s exactly what you’ve seen. So there was little bit of leverage in Q1. I do expect a little bit of SG&A leverage in Q2 and I do think there is some -- there continues to be opportunity there.
Operator: Thank you. Our next question is Gary Bisbee. Your line is open.
Gary Bisbee: First question on the solutions business you've seen sharp acceleration in the growth in the last three quarters. And I wonder if you could just give us a little more color, what is driving that? Is it just the customers using it overseas like I heard you mention earlier? Are there any other significant drivers, and how do you feel about that going forward when you start to comp these stronger growth rates in a quarter or two?
Jonas Prising: When you think about the solutions business, you have a number of global offerings. Recruitment Process Outsourcing RPO is one and TAPFIN our MSP offering is another and those are areas where we’ve made investments and capabilities that really force some time now. And what you’re seeing is here are two effects; number one, markets that previously were not heavy users of those kinds of solutions are now coming into the fray, notably Europe but also some markets and some emerging markets that are very immature are now starting to parachute in and leapfrog for those solutions. So that’s one of the drivers. The second driver is that we’re seeing an increase in cross-country cross-regional and global deals. So the size and scope of these deals is increasing for a number of big organizations that want to have visibility, they’re hiring of tens of thousands of people on a permanent basis or is their management or their contingent spend across multiple geographies, and both of those trends of course speak very-very strongly to our assets and to our capabilities. And that in combination with some very strong sales effort means that we’ve seen some very good growth. And I would say both of those underlying factors should give us an outlook that looks positive. I would also say that in some markets, such as France, we’ve seen some very nice evolution on our business, on our talent based outsourcing business where we take over parts of the activity that for some clients is no longer a core activity. So in France under our Proservia brand we see some very strong growth, we see opportunities of that kind in other parts of the Europe in particular as well. And we’ve seen that part of the business which is primarily a local business but Proservia is also a European activity. We think that will continue as companies become much more focused on what they consider is core versus non-core. And if the non-core involves a lot of talent and process and workforce agility, we’re extremely well placed to help them with that and to drive that and that’s why you’ve seen in particular global offerings RPO and MSP become market leading offerings and we’re very focused and continue to drive that part of the business because it helps our clients win and it also adds a lot of -- adds a nice contribution in terms of gross profit and the BLC.
Gary Bisbee: Okay. And then the follow-up question, on the U.S. margins, you've had relatively sluggish growth in the U.S. for several years and yet the margins keep going up really strongly. How much of that is -- I guess two questions. How much of that has been perm-driven relative to the efficiency in the core staffing business or mix, I guess, perm or solutions and how much more can that go up without more robust revenue growth?
Jonas Prising: You saw the -- you heard from Mike’s comments that we really have three main components of the business. Clearly, the strength and the rapid growth of the solutions business has been very helpful. Manpower has also seen some very nice addition of perm and we had strong growth in the quarter and perm under the Manpower brand. Although as you've heard Mike say our activity, which is a big part of the Manpower activity within the manufacturing sector fell back a bit from what we saw in the fourth quarter. And then Experis we’ve really done a lot of work there to make sure that we drive higher margin, higher value skills, which is why despite a reasonably weak top line with which we’re still not satisfied you can see our Experis IT business is stable between the quarters. Our margins have gone up well over 100 basis points in the first quarter. So, we keep getting higher bill rates for higher value skills and higher margins and the mix of the business is weighted between big projects within Experis, big projects that come to an end so we have that kind of business, book-of-business to balance then SMB market where we still believe we have some good opportunities. But what hasn’t really kicked in for us in Experis yet is strong perm growth and because we’ve been very focused on driving higher value project skills on the consultant side. So, we still have upside on the perm in Experis, I still believe that the market is very healthy from a demand perspective on the IT skill side and from an engineering side outside of the oil and gas sectors and the energy sectors, there should still be opportunities as well as on the finance sector. So all-in-all there should still be room to improve there.
Operator: Thank you. Our next question is Sara Gubins. Your line is open.
Sara Gubins: For France, I am hoping we can dig in a little bit more about your expectations for the second quarter. Are you thinking about 3% top-line growth? And then I also wanted to ask about margin expansion in France as well. You did about 60 basis points in the first quarter and I am wondering if that is a reasonable expectation or if maybe a strong January and February helped boost that more? And then within France, could you talk about what you are seeing on industrials and large clients as opposed to the SMB market?
Michael Van Handel: Yes, so in terms of overall revenue growth, I mean as I mentioned in the call we did see things tail off a little bit as we go into March, so if I just go month-by-month which I know you are interested in, so January was about 4% growth year-on-year, February 5% and the March 3%. And so clearly there was a little bit of a spurt and then it seems to have tailed off. I think overall there still does seems to be some positive view I think optimism in the market overall, but certainly it has slowed down a little bit. I think we do know we have some clients that built up inventory a little bit and then backed off a little bit, so that could be part of the reason of what we’re seeing there overall in terms of where things are moving. From a leverage standpoint, I think our business continues to do a very nice job there driving overall top-line and find the opportunities that are there, also taking advantage of the perm and then Jonas mentioned earlier the solutions business under Proservia is doing quite well. So, I think they are doing a very good job managing the opportunities, we are getting some leverage. I mean we continue to refine our delivery model in France and they have been able to drive some good leverage there. So as I look to the second quarter, I do anticipate we’re going to see some good margin expansion as well there in the second quarter as we had in the first quarter overall. And then I think you had one other question just in terms of SMB versus key accounts and I think what we’ve seen overtime on the SMB front, I think we’ve seen that they have been maybe a little bit more quick to price in some of the CIC and some of the responsibility pact in general over the last several quarters. So I think pricing there is -- has maybe moved a little bit more quickly. I think generally now we’re seeing as we get into this year I think across the business we’re seeing some of the -- some of our larger accounts negotiate a little bit more aggressively from a pricing standpoint in terms of the responsibility packs subsidies that are coming through as well. But I think, overall I think the marketplace is healthy and pricing is healthy considering where our direct costs are at the moment. So, we feel pretty good about France and where it sits right now.
Operator: Thank you. Our next question is from Mr. Tim McHugh. Your line is open.
Tim McHugh: Most of my questions have been asked, but you talked a lot about the MSP and RPO solutions, guess. How big are those as a portion of Manpower Solutions at this point?
Jonas Prising: You are looking at a little bit more than two-thirds of the solutions business overall with those two, so they do comprise there and certainly an important part of the overall mix within solutions and growing overall, so they are driving quite well.
Tim McHugh: And then on Proservia, you talked about that a little bit. You did a few small transactions that were kind of -- you took over some operations this quarter. Is that going to be a bigger trend, I guess or a more aggressive strategy that we should expect to continue to see from you guys going forward?
Jonas Prising: Well, the more aggressive I don’t know, but clearly we find that there is a good market opportunity for us and we’ve built some very good national coverage of skills and capabilities that are very useful for clients that are within particular the tech and the telco part of the market where there is a lot of people and profit involved, but very difficult to get national coverage and you know with what we have done we've built a very nice center based as well as last mile delivery capability that suits those kinds of industries very well as they go through some of the changes and they're trying to become more competitive and improve their profitability. So I think that you'll see us grow that business also going forward, quite substantially because as an industry trend there will be a need for those kinds of workforce solutions. Now having said that it still quite small relative to our size in France, so you shouldn't expect to think about this in terms of being half of the business in France in any way, shape or form. But it's a good business and within the solutions business we see some good opportunities there at least.
Tim McHugh: Okay, thank you.
Michael Van Handel: We've time for one more question please.
Operator: Next question is George Tong, your line is open.
George Tong: Hi thanks, good morning. On a constant currency basis, you're guiding to 6% to 8% revenue growth in Northern Europe next quarter and this compares with growth of 7.6% this quarter. Can you provide two or three reasons why growth at the midpoint of guidance may slow in this region going from 1Q to 2Q?
Michael Van Handel: Yes George, I don't think there's any markets that we see a dramatic change in trend overall, I think the comparables get a little more difficult in the UK market and that's moving things a little bit, I think when you go through the other markets, in the Netherlands we begin the anniversary one of the acquisitions and but overall I don't really see a dramatic change in trends overall, I think it's more maybe the mechanics of what we're seeing in terms of anniversering some tougher comps in a few markets. But I don't see there's a dramatic shift in terms of direction.
George Tong: Okay, got it. And then a last question, operating margins this quarter expanded to 2.9% driven in part by operating leverage in certain countries. Can you discuss what kind of overall growth environment you need to see for additional operating leverage and what your aspirational margins are?
Michael Van Handel: Sure, I think it's always a good question and a question I get often and it does become a little bit difficult and it depends a little bit upon what we're seeing. When you get to growth levels of where we're at now, 3%, 4%, 5%, depending upon how the markets are moving and moving together, I’d like to say single digit revenue growth we're going to see some operating leverage. We did see a little bit of that in Q1 and I expect that in Q2 as you would have seen from the guidance overall. So I think as we get to that mid single digit you start to see some operating leverage, clearly when you get north of 5 and up into the upper single digits, I think you're going see some better operating leverage and better incremental margins as you get a little bit more acceleration, so we're -- we're squeezing it out at these levels but I think if the economies work in our favor I think there's more opportunity going forward. In terms of overall goals we've talked for some time about overall 4% EBITA margin, we were in it 3.6% last year and so we've been making very good progress towards that goal. Once we get to the 4% we'll talk about what, what our overall financial goals are beyond that so we don't see 4% as the end of game of course but clearly until we get to that level we won't talk about, we'll save our discussion till we get to that level but certainly we can see that in our sights and I think we're progressing well towards that overall goal.
George Tong: Great, thank you.
Jonas Prising: Excellent, thank you everybody. Look forward to speaking with you again the next quarter.
Operator: This concludes today's call, thank you for joining. You may now disconnect at this time.